Operator: Greetings. Welcome to the Kimberly-Clark's Third Quarter 2024 Question-and-Answer Session. I will now turn the conference over to your host, Chris Jakubik, Vice President, Investor Relations. You may begin.
Christopher Jakubik: Thank you, and hello, everyone. This is Chris Jakubik, Head of Global Investor Relations at Kimberly-Clark and welcome to our Q&A session for our third quarter 2024 business update. During our remarks today, we will make some forward-looking statements that are based on how we see things today. Actual results may differ due to risks and uncertainties, and these are discussed in our earnings release in our filings with the SEC. We will also discuss some non-GAAP financial measures today. These non-GAAP financial measures should not be considered replacements for and should be read together with GAAP results. And you can find the GAAP to non-GAAP reconciliations within our earnings release and the supplemental materials posted at investor.kimberly-clark.com. Before we begin, I'm going to hand it to our Chairman and CEO, Mike Hsu, for a few quick opening comments.
Mike Hsu: Thank you, Chris, and good morning, everyone. I want to let you know our team has made great strides advancing our Powering Care strategy, bolstering our confidence to deliver above our long-term growth algorithm in 2024. To be global category leaders, we must lead growth in our categories. We're executing and making steady progress on our strategy to achieve this. We're driving consumption and growing our share across categories and markets driven by our acceleration in innovation and enhanced commercial execution. Our productivity is fueling our investments in innovation to support our growth initiatives while delivering our bottom line growth aspiration. We've achieved key milestones and our transformation is on track with no disruptions. And notably, on October 1st, we successfully completed our new organizational structure to become a better, faster and stronger organization. We're rapidly transforming Kimberly-Clark to thrive in an increasingly complex and competitive global environment. However, there are some discrete headwinds that we are that are creating pressures on growth in the near-term. And these include retail inventory reductions as our service levels improve, lower demand in private label businesses that we're exiting and weaker than anticipated demand in North American professional channels and some pockets of deceleration in Asia and Latin America. And the actions that we're taking as part of our transformation strategy are positioning us to navigate a dynamic consumer and retail environment, accelerate investments across the enterprise so that we can lead market growth and enhance the value of Kimberly-Clark for all of our stakeholders. So with that, I'd like to open it up for questions.
Operator: Certainly. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Your first question for today is from Lauren Lieberman with Barclays.
Mike Hsu: Hey, good morning, Lauren.
Nelson Urdaneta: Hi, Lauren.
Lauren Lieberman: Hey, good morning. So I wanted to just touch first on retail inventory because you had talked about before the quarter some expectation, you were lapping some rebuild last year. But this has really been, I guess, a source of volatility. So I was curious if you could talk about kind of how you think about it, where service levels stand today. And also, is there anything going on from a shelf space standpoint because, again, the disconnect between shipments and consumption has been such a source of volatility? Thanks.
Mike Hsu: Yes. Thanks, Lauren. Yes, no disconnect from a shelving. I mean, we feel very good about our distribution growth, and SKU count, I think, remains robust. And we have a great innovation pipeline that we're bringing in that will continue to support that. So I would say the retail inventory reductions, they may be a little localized to us and do reflect, as you point out, Lauren, reflect the supply challenges we had last year. Just to give you a little, just to remind you, we had a packaging supplier that was down for a couple of months last year that impacted most of our Personal Care brands in North America. So and as we got back into supply, I think, we got fully back in the supply third quarter of last year. And so you could see in that chart that we had in our presentation kind of a spike in inventories in the third quarter last year, and we're cycling that this quarter. So I think that's really the overall driver. So between restocking last year, reductions this year and the hurricane, we've seen about an 80 basis point overall headwind to global net sales year-to-date, primarily in North America. And as I said, that reflects, I'd say, an improving service environment from our side and potentially impact from higher financing costs for inventory. At the end of the quarter, I'd say retail inventories look consistent to us with historical levels. So hopefully, I think we're -- we should be mostly through it. But we would say, hey, you are working through some dynamism in the environment. And so we could still see some further reductions through the retailer fiscal year-end, which happened in Q3 of next year. So if that persists at similar levels in Q4, we could be closer to a 3% organic growth for the full year.
Nelson Urdaneta: Yes. And a few things just to add on, as we think about the inventory, the hurricane impacts and what we had in Q3, Lauren, the quarter, consumer offtake in North America is pretty strong, both in Personal Care, Consumer Tissue combined, it grew 3.2%, so ahead of the category. And the disconnect, if you will, is really with the shipments, and that was impacted by a couple of factors. One, transitory factors, and that's the retail inventory changes, which, again, we lapped a bill last year. We had a slight reduction in inventories again in Q3 of this year. Then we had the impact of the hurricane at the end of the quarter with shipments out of the Southeast. And then lastly, some drops in private label volumes on both businesses we're exiting as well as some business we'll exit next year. The other bit to take into account is there was some underlying demand weakness in professional and some international markets that Mike referred to. But the key is the shortfall in Q3, about two-thirds is attributable to the transitory factors that I just referred to. And if you think about the North America business in particular, the combination of these two led to about a 280 basis point headwind in North America Personal Care, whereas in Consumer Tissue, that was around 350 basis points in Consumer Tissue in North America. So overall, that's how you would be able to bridge the two numbers.
Lauren Lieberman: Okay. Great. Thanks so much. And I was just curious, just in the Nielsen data, for what it's worth, we've seen a surge in some of your categories in and around Port Strike. There's been questions around consumer takeaway ahead of the hurricanes. So did you see that anything to just consider in terms of shipment dynamics and any things to think about for 4Q that will be helpful?
Mike Hsu: Yes, Lauren, I would say we're not really expecting any benefit from any stock up behavior by consumers. I'd say, yes, we did see a little bit of it related to both the hurricane and potentially the Port Strike. I'd say, not meaningful at an enterprise level. And we would expect we'll kind of work through that in the quarter.
Lauren Lieberman: Okay, perfect. Thanks so much.
Mike Hsu: Thanks, Lauren.
Nelson Urdaneta: Thank you.
Operator: Your next question is from Nik Modi with RBC Capital Markets.
Mike Hsu: Good morning, Nik.
Nelson Urdaneta: Hey, Nik.
Nik Modi: Good morning. Good morning, guys. So Mike, maybe you can just talk about market shares. In the release you suggested things looked pretty good from that standpoint. So I wanted to kind of get your thoughts on that and just the competitive environment in general. But just kind of tagging on to that on innovation. I mean, some of the data we've seen out of numerator on some of your innovation like Skin Essentials will suggests there's a very high cannibalization rate. And so I just wanted to get your thoughts on kind of how you think about innovation and the role it's going to play. Is this really about market share gains or is this about kind of expanding the value pool as you've been suggesting with some of the price tier opportunities that you have in the US and other markets?
Mike Hsu: Okay. I'll try to answer all of that, Nik. You may have to steer me depending on how I answer. But I think the short answer is, hey, we're after growing our market shares overall, and we're off to expanding the category. So it's both of those. I'd say I feel very good about the progress overall that we're making on market share. And for the quarter, I think overall, I think we are globally, overall, about flat on a weighted basis. And on a cohort basis, I'd say we're slightly more than half which is an improvement versus this time a year ago, pretty significant improvement. Importantly, I think in the US where we're making strong progress and so where we have at discrepancy in consumption. Consumption is very solid and we were up or even in seven of eight categories versus a year ago in the quarter and eight of eight sequentially. So I think we're making good progress on the market share front. And that's really driven by the strategy that we've been talking to you all about, Nik, which is, hey, we're investing to make better products in pioneering innovation. We're investing to improve our advertising and driving strong commercial activation and we're pulling all those levers together. So I think your question on innovation is overall, as we look to premiumize or drive trade-up in our categories, obviously, our preferred path is to do that in a margin-accretive way, right? And so if you're driving premium innovation, that should be at a higher margin. I'd say the overall goal is to delight the consumer in whatever way that we need to. And so in a lot of ways, like Skin Essentials, I feel great about the product that delivers really great benefits from a skin care perspective. That's kind of a new feature in the category and I'm excited that consumers see that worth investing in, right? And so that's a great thing. But we also are focused on every tier on the good, better, best spectrum, right? And so we're going to bring cascading our innovation throughout all of our tiers to make all of our products better. And so the short answer which maybe frustrate some of my organization sometimes when they ask me, well, do you want us to trade up or do you want the value, and I say yes, right? Because our job is to deliver across all tiers of that good, better, best spectrum.
Nik Modi: Thanks so much. I'll pass it on.
Mike Hsu: Okay. Thanks, Nik.
Operator: Your next question for today is from Anna Lizzul with Bank of America.
Mike Hsu: Good morning, Anna.
Nelson Urdaneta: Hi, Anna.
Anna Lizzul: Hi. Good morning. Thank you so much for the question. I was wondering if you could talk about the private label businesses. You did exit certain private label businesses, which impacted this quarter. So can you give us more detail on where you are now in that process? Maybe what we should be expecting moving forward and just how is this overall helping you get to your longer-term gross margin goal of at least 40% by 2030? Thank you.
Mike Hsu: Yes. Thanks, Anna. Yes, I think the overall kind of underlying strategy behind the private label shift for us is we're really focused on proprietary science-based innovation in right-to-win spaces, and that's really behind our brands. So we really want to focus our capacity and technology investment in the brands to drive further differentiation. And so we've been moving out of some private label business for the past 18 months. That has enabled us to step up our growth in our branded business, for example, Kleenex, which was up almost 500 basis points in share this quarter or last quarter. That part of that is because we've been able to expand some of the capacity that we've had behind the brand. So I think that's been an important move. I think the last quarter in Q3, it's the first time that the exit combined with maybe some weaker private label sales that some customers was material enough for us to call out. And I think we noted that in our presentation. I did highlight last quarter that in 2025, we'll cease production for a large club private label diaper business in the US, and that's going to create a headwind of about 2% for us next year. And so as a result, our private label mix will shrink from about 4% in 2023 to about 2% next year and I expect that to decline further over time.
Anna Lizzul: Great. Thank you so much.
Mike Hsu: Okay. Thanks, Anna.
Operator: Your next question is from Bonnie Herzog with Goldman Sachs.
Mike Hsu: Good morning, Bonnie.
Nelson Urdaneta: Good morning, Bonnie.
Bonnie Herzog: Good morning. I wanted to ask about your gross margin, which it's expanded pretty meaningfully year-to-date and tracking ahead of pre-COVID levels. So just wondering how we should think about the sustainability of these margin levels, especially given the soft organic sales and probably the possibility that promos need to step up given pressures on the consumer and to limit down training. I guess what's the right level of support you see from a benign input cost environment and considering also your ongoing productivity savings. Thank you.
Nelson Urdaneta: Yes. So a few things, Bonnie. Overall, we're pretty pleased with the trajectory of our gross margins, operating profit margins and more importantly, gross margin dollars. I mean that's our focus at the end of the day because that's what really funds our ability to invest in the business, invest behind the brands and drive the sustainable innovation that we've been putting in the marketplace, which Mike was just talking about. For the year, what we've seen is we're right around an average of 37% gross margin, which is a pretty healthy gain. And we've been doing consistently for the last eight quarters or so, gains on gross margin quarter-after-quarter, year-over-year. And we still expect, as we exit the year to continue to have gains on gross margin on a year-over-year basis. A few things have played out in terms of what's driving the gross margin and why we still have strong confidence in our ability to get to our long-term stated goal of at least 40% gross margin or operating margin in the range of 18% to 20% before the end of the decade. And what's playing out is the following. One is, first and foremost, our focus on driving meaningful innovation and focus on making it accretive to overall margins. Secondly is our shift to really managing our cost basket in a different way than what we did, say, three, four years ago. We're much more proactive around risk management strategies, how we look at the cost basket overall, and that allows us to have more visibility into what's coming our way so that we can react appropriately. The third element, and it's been playing out very well this year, and it's part of our Powering Care strategy is our transformation in the supply chain. We've delivered very strong productivity through the first three quarters of the year. We're, this past quarter, $130 million, and that's just in our gross productivity from manufacturing and supply chain, not including procurement and we have a very strong pipeline going forward as part of our Powering Care strategy over the next few years as we really get underway to deliver that $3 billion. So we see that as very sustainable over time. A key point to take into account is margin progression is not linear. So there will be ups and downs quarter-to-quarter. The important thing is what's happening from a year-to-year basis and over time. So overall very pleased where we stand right now. We obviously, from a cost basket, that was part of your question. Right now, we are still staring at about the same number that we had provided as an outlook at the beginning of the year. We've seen a bit of an uptick on cost in Q3, but that's exactly in line with what we had projected. And we expect Q4 to kind of have the same trajectory that we have seen in Q3. So no change at this stage versus what we're seeing.
Mike Hsu: Yes. And Bonnie, maybe you touched on pricing or the promotion environment. I'll just say the overall, we're really focused right now on volume and mix-driven organic growth. And to do that, I think we're also very focused on driving what we call PNOC or price net of commodity discipline, right? And so and the magic of that is if we had that discipline on PNOC then the productivity kind of drives the margin expansion on its own. But I would say, overall, pricing to offset cost inflation is proceeding as we had planned throughout the year. We really want to be, as I had just mentioned earlier, better value at every rung of the good, better, best ladder. And so our focus on building the brands with innovation, world-class advertising or storytelling in our vernacular and then really, really strong commercial execution. That's kind of how we want to play it. I would say we do use promotion and but primarily as a trial driver with our pioneering innovation is how we think about it.
Bonnie Herzog: Okay, very helpful. Thanks for the color.
Mike Hsu: Okay. Thanks, Bonnie.
Operator: The next question is from Chris Carey with Wells Fargo Securities.
Mike Hsu: Hey, Chris.
Nelson Urdaneta: Hey, Chris.
Christopher Carey: Hey, everyone. So I just have a question about the new organizational structure and category growth. And then I'm going to sneak one in on just the Q4 operating profit expectation. So regarding the new organizational structure that you have in place as of October 1st, you also have an expectation for category growth to decelerate or at least to be the lower end of your long-term range. I think I saw that in the prepared remarks. And so how do these two things fit together, right? So the outlook for Q4 is, I think, similar to Q3, so maybe even a bit below that global category growth rate and yet you have the new organization in place. How long before this organization is really driving the outcomes that you're looking for? And specifically with an eye on 2025 where perhaps you'll have a little bit less pricing than you've had this year and where that organizational, those organizational changes are going to be an important part of driving organic sales growth next year. And I just wonder how you see that kind of top line trajectory coming together. And if I could just sneak in on Q4, is the operating profit being muted in Q4? Is that really a discretionary decision behind investment? Should we be expecting some narrowing of gross margin performance? How would you characterize just the relative differences between Q4 gross margin and just the sort of things that you're being a bit more offensive about from an investment standpoint? So thanks so much.
Mike Hsu: Okay. Chris, you're up earlier. There's a lot of questions to unpack in there. So just steer us around if we forget to address something. But one, I will say, I'm really pleased with the progress that our organization is making in implementing our wire for growth organization. And we've been operating that, as we said in October 1, officially. The little, the truth behind that is we've been doing that on an informal basis earlier. So I think it's gone off very, very well and we're starting to see the benefits of kind of moving in that structure. I'll hit on the categories. I'd say, hey, the overall categories remain resilient. Underlying category growth, I think, Chris, remains very healthy. Consumer interest in better-performing products remains healthy, especially in developed markets, but in developing and emerging markets as well. We're still very mindful about affordability and our need to strengthen our brand value propositions. So I'd say overall, the categories are growing in dollars and units. The underlying demand drivers remain healthy, and that includes penetration, which I think overall is stable, and long-term for us remains a big opportunity. We are seeing in some markets like lower births as you're well aware like in South Korea and China. But that has tempered and slowed down. The declines in the birth rate have slowed down. I'd say they actually have troughed. And so and our businesses are still performing well in that kind of environment. We have a lot of markets with categories that still remain at the very early stages of development across developing and emerging markets. And then, of course, this aging population is a strong tailwind for our Adult Care business across developed markets. And so I think penetration, I think, it's a good story. Trade-up remains a big driver of the category, especially in developed markets, but even including the developing and emerging markets, and we're still seeing the demand for premium products continue to grow, both in the US and developed and emerging markets. I think frequency is where we see typically some softness right now. Typically, in a tougher economic environment, consumers in some markets notably like in Latin America and Southeast Asia tend to try to stretch out their money a little bit by using the products for a little bit longer duration. And so we are seeing a little bit of softness in Latin America and Southeast Asia. And in addition, I think, we mentioned in our presentation, we're seeing some traffic slowdown in our North American professional business. So as a result, I think our full year weighted category growth is likely to be closer to 2% versus the 2% to 3% range that we had highlighted previously. That said, I'd say, we remain on algorithm. Of course, our goal is to lead category growth, which we will continue to do, we think. And then as we're flat to slightly up on share across our businesses globally this year.
Nelson Urdaneta: And let me unpack a little bit the top line trajectory and then we can get into the Q4 margins, Chris. So a few things as we look at the top line trajectory. So absent the transitory factors, a key thing is, one, pricing. We are lapping the pricing actions that have been taken across category, all players and ourselves. And as you can see from Q1 to Q3, what's happened is, and as we had projected at the beginning of the year, the impact of pricing in our overall organic growth has come down as expected. For the quarter, we were only 1% pricing. But if you go back to Q1, that was 4%. So it's been coming down and we expect that pretty much be the case as the year closes also because pricing in hyperinflationary economies has been coming down. The other bit is that it's also having an incidence on the category growth. While DQ has remained healthy, et cetera, we're seeing that pricing and you're seeing it in Nielsen data is also coming down, and that's having an impact on what you see in overall category growth rates. So that's something we expect to have. But overall, the key element is, as we said at our Investor Day, this new phase is really about volume mix-led growth and that's what we expect for Q4. If you look at our outlook for Q4, the implication of what we're stating is that we do expect our top line for Q4 to be actually stronger than what we saw in Q3 once we normalize for the transitory factors that we saw. And again, there could be one-offs. We can't predict what we don't control. But based on what we know, we'd expect that to happen on the top line. In terms of the gross margin for Q4, a few things. One, we are stepping up investments behind our brands and our platforms. We saw that play out in Q3 as we had signaled in July. We stepped up advertising spend by 60 basis points. We expect to step up advertising and brand support by at least that amount in Q4. So the combination of the two should be north of 7%. So that's one element to be taken into account. Secondly, there are some discretionary costs that we expect to hit our P&L in Q4. And last but not least is we had a little, I mean as we had indicated back in January, out of our bucket of input cost inflation, including currency because of the timing of some of the pricing actions in hyperinflationary economies last year and how these costs would slow in, we would be more back half loaded. That played out in Q3. That will play out in Q4. But overall, the key thing is we are making year-on-year strong progress on margins and we expect to continue to do that over time.
Mike Hsu: What did we miss, Chris?
Christopher Carey: That was -- I think that was as comprehensive as I could have hoped for. So thank you for entertaining all that. All right. Good luck.
Mike Hsu: All right. Thanks, Chris.
Operator: Your next question for today is from Kevin Grundy with BNP Paribas.
Mike Hsu: Hey, Kevin.
Nelson Urdaneta: Hey, Kevin.
Kevin Grundy: Hey, good morning, guys. Good morning, Mike. Good morning, Nelson. Question for you on, as a follow-up on Chris' question, a bit of a different angle, though. Just as it pertains to visibility on results, sort of the mix, Mike, all this organizational change that you've kind of been pushing through in what is still a pretty dynamic environment. So I asked that in the context, the quarter fell a bit short of your own internal expectations in The Street. Some of these factors evolved throughout the quarter. There's something like the inventory build was known. When you're speaking with The Street as recently, it's like early September, it did sound some of these factors were really being amplified such that The Street was kind of braced for the magnitude of it. So I can appreciate the volatility of the environment. Nelson, your point on what the organization has done around productivity and visibility there further down the P&L certainly well taken. But my question for both of you really kind of speaks to the visibility you have as you're sort of contending with all this organizational change and why investors should not be concerned that this is really kind of a setback quarter in terms of the visibility that you're conveying and the guidance to The Street. So thanks for all that.
Mike Hsu: Yes. I think I'll start, Kevin, with one, I'm really, really pleased with the strong execution globally that we have from the team around the world. Overall, I'd say, I'm really pleased that we are managing the controllables very, very well. I think what happened in the quarter, I would say, certainly, I think you understand on the retail inventory, it's very certainly to be a transitory impact. I do think part of it is, we'll react to evolving market conditions. And so we've started to see a little softness in Southeast Asia and in Latin America and, as we noted, in our professional business. I think for us, the opportunity is we have good visibility on it. I think the organizational change has gone very, very well. We've been operating, I would say, in our words, internally a soft reorg condition for the past six months. And so I think we have pretty good visibility operationally. And importantly, management in the markets that are running the businesses has not changed significantly. So I think that should give us our investors' comfort there. I think what we are calling out is there is some softness in some markets that we're all aware of. Some of that is certainly category conditions are the things that we could be doing better from a product perspective or a marketing perspective? Sure. And so I think the thing I like about our rewiring for growth is it's creating more visibility into the big markets that make the biggest impact and that's international or Personal Care for us, North America and some of our big Consumer Tissue markets. And so we're able, I would say, to diagnose what's going on and respond much quicker. And some of the areas that we have opportunity to work on harder are Kotex in China, even though it was up slightly on share in the quarter, it softened a little bit. Our fem care business in Brazil, similarly. Bath tissue in South Korea was a little soft in the quarter. One of the things that the reasons why we saw a little bit of a slowdown in Korea in the quarter was we have been growing multiple share points that offset some of the category conditions. And now that we're only growing a little bit of share or, let's say, 100 basis points of share rather than 300 that slowdown in the category growth hits home a little bit harder. So I think we have some opportunity there. And then lastly, Huggies in parts of Latin America, I think we do have some product improvement opportunities, which we're all over. And so again, I feel good about the visibility and I feel good about where we are in the reorganization. But Nelson, I don't know if you wanted to add anything?
Nelson Urdaneta: Yes. So just to add, Kevin, a few things. One, we will remain and we've been instilling a lot of discipline in the business around our approach to volume consumption and how we manage on that end. So we will remain steadfast on the role that promotions play and we're not going to be chasing volume. We're going to be chasing consumption and that's what we're doing. We're pleased with the fact that in North America, consumption remains strong. Again, there's a disconnect between shipments and consumption. And there are elements there that we can't predict on a month-to-month basis because they just happen. Our focus and our discipline has also remained around how we manage bottom line, overall profitability of the business to be able to generate the fuel to invest back in the business. Our performance has been strong on that end. And again, we're getting better by the day as we execute. Our teams have been going through a lot of change over the next, over the last few months, and we're very proud of what they've accomplished and how they're looking at what we're going to be doing over the next few years as we carry out our Powering Care transformation. So overall, we'll manage through the next few quarters and there'll be market dynamics. But ultimately, our objective is to lead category growth in a profitable and sustainable manner, and that's what we're setting the organization to do.
Kevin Grundy: Right. Very good.
Christopher Jakubik: I think we have one more question.
Mike Hsu: Okay.
Operator: Your final question is from Javier Escalante with Evercore ISI.
Mike Hsu: Good morning, Javier.
Nelson Urdaneta: Hi, Javier.
Javier Escalante: Hi. Hello, guys. Good morning, everyone. I'm going to revisit some of the items discussed in a way that, I think, that it may be simpler because there is a lot of moving pieces. So stay kind of like external issues versus internal factors. So the external one, the bigger one is this inventory destocking is not just you. We have been talking about this with other -- with some of your peers. If you can talk about what's driving it. Is it just mechanics of COVID? Is it shift to e-commerce that they are using the stores differently? And if you can basically say, I think that I heard that it was 80 basis points on a year-to-date basis. If you can just simply tell us what was the impact on Q3. So that's the externality. I'll wait, but I would like to go more into the internal piece, which to me is more interesting. So if you can address that and then give me a minute for the internal piece question.
Nelson Urdaneta: So Javier, let me reconcile the numbers for you just to give the sense of what's that 80 basis point on Q3. And you can get to that and see. But, as you stated, I mean, there are externalities, inventory movements. We had a bill last year, especially, particularly in Q3 as our supply chain normalized in the US. And then we had a bit of more destock in Q3 following what had happened in Q1 and Q2 of this year. We also had the hurricane impact at the very end of the quarter, the last three, four days of shipments. And then the other element was the private label shipments. I mean we exited some contracts. And then on top of that, we had softer demand in other private label that materialized at the end of September. Those three elements that we've called, that I've referred to as transitory factors added to slightly north of one point of growth in the quarter. So roughly 1.3 points, if you want me to round it to be exact. That's what that drove for the enterprise overall in growth. That's the 80 bps give or take that Mike referred to for the year, if you add all that.
Javier Escalante: Thank you. Yes. So basically, the real question is the following, right? So you basically, you are doing a lot. This is a highly decentralized company, but at the same time, the categories are roughly the same. So basically, you are moving away from private label. So if you can tell us how you are in that process again. So what was your, at the beginning of the year, your -- what percentage of global sales were in private label? Where they are now? What is the plan for next year because there is the impending exit of private label business that is two points coming into 2025? So if you can explain that as an item alone. So then if you -- there is the implementation of S/4 HANA. To what extent that had an impact or give you more visibility so you can guide better going into next year? And there is another item that came out, a news item, in terms of you guys being evaluating strategic options for the international tissue and professional businesses, which, in my math is about 7% of the profit. So you seem to be doing a lot very at the same time. So tell us how the organization is responding. Do you have the system to manage this so you can control the volatility going forward? Thank you.
Mike Hsu: Yes. I think I'll start maybe. And as I said, I think we've been very pleased with the organization's response to the reorganization. And Javier, as I mentioned, we start -- we flipped the switch on the new operating model or a new operating structure on October 1, but the reality is we have been running in a kind of a soft mode for several months leading up to it. And the reality is what's happening in each of the markets, we haven't changed management significantly in any of the local markets that kind of deliver the P&L. And so our expectation would there be little disruption. And in my mind, there hasn't been very much disruption at all. So again, I think we feel very good about how the organization is proceeding and our visibility into kind of looking at the business remains very, very good. I'd say on the private label, again, I think I'd mentioned earlier, it's -- this year, it will be about 4% of our overall sales of the company. Next year, after the exit, it will be -- we'll be about 2% private label. And then our plans would be it will probably work our way down from there. So that's that part. I forgot what the -- what else did you want?
Nelson Urdaneta: You had a question on S/4, Javier. So we --
Javier Escalante: Go ahead. Actually, the question is more about whether S/4 HANA will give you the capacity to basically better foresee this volatility because there is this news item about you guys looking for strategic options for divest, I don't know what that is. But international tissue and pro-business which is about 7% of profit.
Mike Hsu: First of all, Javier, since you opened the door, my DTS, my Digital Technology Service organization will be really miffed of me, if I don't complement them, but we did flip the switch on our North American S/4 HANA implementation at the end of July, actually the weekend before the earnings call last quarter. And contrary to what most experiences are, nobody noticed other than it was easier to run. And so I think our organization has done a great job. I think, actually, the vendor who provides the software wants to meet with us to see how did you -- how do we pull that off without any slippage. So I think we've done a very good job there, and so from that perspective, I think, again the organization, I think, continues to perform extremely, extremely well. With regard to your questions on international family care and professional, I'd say, we're taking important steps to make that a more robust and predictable contributor to growth and returns for us. And for me, obviously, as a matter of practice, I'm not going to comment news articles or rumors. And I'll let you know when I think there's something that you need to know. But we like the categories that we're in. We believe we can add a lot more value to our categories, our consumers and our customers. That said, Javier, I think you'll also recognize that in places where we don't feel like we have a right-to-win in the long-term, we'll look to optimize our participation in those assets. And the example that I think you and I have discussed is in Brazil, where we saw some structural factors that made it difficult for us to compete. On the Consumer Tissue side of the business, due to some, I would say, some government incentives that we couldn't access that made the category more difficult to compete in, we made a different decision that I think was a very good one for the company. And so I think we'll continue to make those tough decisions. But again, I think we'll let you know if there's anything to think about regarding the tissue business.
Javier Escalante: Thank you very much guys.
Mike Hsu: Okay. Thank you Javier.
Nelson Urdaneta: Thank you.
Mike Hsu: Well, thanks, everybody, for joining us today. And for anybody who has follow-up questions, Investor Relations will be around to take your calls. So thanks very much and have a great day.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.